Analyst: Travis Lan - KBW Matthew Breese - Sterne Agee Frank Schiraldi - Sandler O’Neill
Operator: Good morning and welcome to the OceanFirst Financial Corp Earnings Conference Call. (Operator Instructions). I would now like to turn the conference over to Jill Hewitt. Please go ahead.
Jill Hewitt: Thank you, Chad. Good morning and thank you all for joining us. I'm Jill Hewitt, Senior Vice President and Investor Relations Officer and we will begin this morning's call with our forward-looking statement disclosure. On this call representatives of OceanFirst may make forward-looking statements with respect to its financial conditions, results of operations, business and prospects. These forward-looking statements are not guarantees of future performance and are subject to risks, uncertainties and other factors, some of which are beyond OceanFirst's control, are difficult to predict and could cause actual results to differ materially from those expressed or forecasted in the forward-looking statements. OceanFirst undertakes no obligation to update or revise any forward-looking statements whether as a result of new information, future events or otherwise. In our earnings release we have included our Safe Harbor Statement Disclaimer. We refer you to this statement in the earnings release and this statement is incorporated into this presentation. For a more complete discussion of certain risks and uncertainties affecting OceanFirst, please see the sections entitled Risk Factors and Management Discussion and Analysis of Financial Conditions and Results of Operation set forth in OceanFirst filings with the SEC. Thank you. And now I will turn the call over to our host, Chief Executive Officer, John Garbarino, Chief Operating Officer, Christopher Maher and Chief Financial Officer, Michael Fitzpatrick.
John Garbarino: Thank you, Jill and good morning to all who have been able to join in on our third quarter 2014 earnings conference call today. It is with mixed emotions that I greet you this morning, hosting my last quarterly call as CEO of OceanFirst Financial. As you know, President, Christopher Maher will succeed me as CEO, effective with my year-end retirement and be your host on future calls. As always we appreciate your interest in our performance and are pleased to be able to review our operating results with you this morning. Following our usual practice, we will not be disrespectful of your time reciting a host of actual numbers from the release. Our introductory comments will merely help frame our opportunity to add some color to the results posted for the quarter before we take your questions. I'm pleased to conclude my participation in these calls with a successful quarter. Announcement of a cash dividend increase and reporting the cleanup of a substantial portion of our residential nonperforming loan portfolio, which we all realize has been languishing due to the extended judicial foreclosure backlog in New Jersey. In summary for the quarter, diluted earnings per share were $0.31 up a penny from the link quarter and $0.02 ahead of the corresponding prior year quarter. Factoring out all of the extraordinary items however, we view the quarter as reflecting a solid $0.30 of core operating earnings. The Board declared the company's 71st consecutive quarterly cash dividend, increasing it a penny to $0.13 per share, representing a 42% payout of our earnings and underscoring our confidence in this sustainable ratio well within the parameters of our capital management planning. I will now ask Chris to provide additional details on our quarterly operating results and explain the steps we have taken to position us for a changing operating environment.
Christopher Maher: Thank you, John. OceanFirst has prospered under your leadership and I look forward to continuing your record of stewardship and development for what has become an admirable Community Bank franchise. This quarter included the impact of the sale of the majority of our residential nonperforming loans, but before we address that transaction I would like to build on John's comments regarding the dividend and the progress being made in our core business. Commercial loan originations increased materially during the quarter to $66.7 million which compares against $46.9 million in the linked quarter and $49.5 million in the prior year quarter. Net growth in commercial loans is a more muted $27.2 million due to payoff activity during the quarter. But the important point is that commercial loans have been growing at double digit rates for the past five quarters. Our objective has been and will continue to be consistent and methodical growth in the commercial business. This growth has stabilized net interest margins and when comparing 2013 year-to-date performance to 2014 year-to-date performance has supported a $2 million improvement in net interest income. The cumulative growth in commercial loans over the past five quarters totals $135 million and is now covering much of the incremental investment made to build a commercial business. The current pipeline indicates this trend should continue. Given the progress made in commercial, we see an opportunity to continue to expand this business in 2015 and beyond. Non-interest income excluding investment gains in real estate operations totaled $4.7 million this quarter as compared to $4.6 million in the linked quarter and continues to grow. This quarter's growth was attributable to strengthened banking fees and continued despite sector wide pressure of residential mortgage gain on sale income. To put the macro mortgage banking trends in perspective, the bank's (indiscernible) sale income ranged between $3.7 million and $3.9 million in 2010 and 2011 during the height of the refinance market. The annual run-rate for 2014 is approximately $770,000. The strategic effort to build the commercial banking business increased bank fee revenue and advanced both bank cards and wealth management has offset the decline in mortgage banking income and improved opposition of earnings for the long term. Operating expenses were flat for the quarter coming in at $14.5 million versus $14.8 million for the linked quarter, evidencing the most substantial investments have been made and operating leverage is under less pressure as the bank moves forward. Considering the continuing momentum in the commercial business, stable non-interest income, modest expense pressures and the material improvement in our credit and operating risk profile, we’re pleased to be in a position to provide an enhanced dividend to our shareholders. Regarding the sale of non-performing residential mortgages announced on October 1st, liquidating the majority of our residential non-performing loan portfolio allows the bank to reduce our credit risk position while positively enhancing operations. The reduced financial and reputational risks associated with pursuing foreclosure actions will also allow us to reallocate resources in 2015 as we shift resources from collection and workout to the generation of additional revenue growth. At this point I'll turn the call over to Joe Iantosca, Chief Administrative Officer. Joe will give you more color on the non-performing loan sale and discuss the quarterly provision for credit losses.
Joe Iantosca: Thank you, Chris. Let me first touch on the non-performing loan sale. From time to time we've evaluated the market for nonperforming loans. This past quarter we determined that market conditions had approached the tipping point, whereby the difference between the upfront cost of the sale and the ongoing expense drain that would be incurred until each of these loans was fully resolved was reasonable, giving us the ability to focus resources on forward-looking activity rather than loan resolution. We sold 106 loans totaling $23.1 million in non-performers, taking a $5 million charge-off, including uncollected loan ESCROW receivables. As a result of the sale, we estimate direct expense reduction in 2015 of approximately $500,000 with a continuing benefit over the next few years. I would note that 93% of the loans in the pool for the sale which resolved over half of the current non-performing loans were originated prior to January 1, 2008. Our internal analysis has shown that loans of this vintage have a much higher incidence of delinquency, take longer to resolve and result in larger losses than loans of a more recent vintage. Turning to the activity in the allowance for loan losses for the quarter, I would like to take a moment to walk you through some of the items leading to the quarterly provision for $1 million and the charge-off of $5 million for the non-performing sale. Each quarter the bank's asset classification committee reviews each and every loan on the commercial watch list for changes in performance, collateral value and ultimately impairment. Positive developments within the commercial loan watch list resulted in a significant decrease in the required reserves for commercial loans. Specifically in the quarter, a single large commercial credit which has demonstrated substantial operating and collateral value improvement along with a long history of current payments was upgraded to special mention. The net effect of this classification and changes in the impairment positions of seven other credits drove the decrease. The decrease in required reserves for commercial loans was unrelated to the residential non-performing loan sale. However, the residential NPL sale which eliminated 57% of the bank's non-performing loans as of June 30 did result in a 52% or $1.6 million decrease in unallocated reserves, which is appropriate considering the substantially improved risk profile of the loan portfolio. The combination of these developments resulted in the $1 million quarterly loan loss provision which exceeded routine quarterly charge-offs but was materially lower than the charge-offs related to the NPL sale. I now will return the call to CEO, Garbarino for his wrap up and questions and answers.
John Garbarino: Thank you, Joe. No wrap up but with that, Chris, Mike, Joe and I would be pleased to take any questions you have for us this morning.
Operator: (Operator Instructions). Our first question comes today from Travis Lan with KBW.
Travis Lan - KBW: Loans yields were flat in the quarter, I'm wondering was there a prepayment penalty in there or are you seeing sort of a bottoming in kind of the loan yields in your opinion?
John Garbarino: No prepayment penalty Travis, so it wasn’t unusual but they are leveling off, yes.
Travis Lan - KBW: Okay. All right and then Mike just given the temporary liquidity elevation in the quarter would you expect the margin to rebound a bit in the fourth quarter or is there more pressure to come from current levels?
Michael Fitzpatrick: Yes there's a few things Travis, number one we have excess liquidity as you know reduce some of the margins. We have a couple -- so that liquidity will run out in the fourth quarter, so that puts the margin back up. We also have the non-performing loan scale at $19 million was earning zero so now it's invested in securities, a little over 2%. So it's a bad debt [ph] plus two basis point increase in the margin and (indiscernible) dollar term it's an extra $100,000 in the quarter. The big increase you saw in home loan bank borrowing from last quarter this quarter most of that extension was done in the second quarter and flow through into the average into the third quarter. So that’s been mostly behind us, so you’re not going to see a big increase in that and the fourth quarter. So and then we anticipate the loan growth again in the commercial loan book in the fourth quarter. So I would say we would be back into the low 330s over the fourth quarter.
Travis Lan - KBW: And on that powering extension that you hooked up from the second quarter that flow through, do you have the terms on that in terms of the rate and duration on that extension?
Michael Fitzpatrick: Yes we have a 3 to 5 year ladders so it was about four years on average a little over four years and within that 175 range.
Travis Lan - KBW: And then just on the NPL sale and the balance sheet derisking that that brings, does that open up and I think Joe you were talking about this a little bit about I just wanted to circle back on it, does that open up some existing reserve for you to absorb future loan growth or do you expect to have to provide for the additional growth going forward?
Joe Iantosca: We recaptured some as we mentioned in my comments and it does open up a little core future loan growth but as loan growth occurs, will also provide appropriately.
John Garbarino: As Travis as you know I mean things change from quarter-to-quarter so there is no guarantee that everything will move in this beautiful straight line that we create.
Travis Lan - KBW: Right, and then just last one that Joe mentioned that there were $500,000 of expense savings related to the NPL sale. Is there an amount that you expect to be reinvested in other lines and Chris you mentioned kind of reallocating or do we expect that to be a net reduction in expenses going forward?
Christopher Maher: Yes I think we're looking at that right now Travis. It's a great time of the year because we’re putting our budget together for next year. I would say that given the maturity of the growth in the commercial business we would feel comfortable looking at maybe a little bit more investment in that, nothing along the lines of what we had to do 18 months ago but we may take some of that and reinvest it back in a couple of commercial lenders. We’re looking through that now. So I would generally expect that expenses would be around the levels they are today.
Operator: Our next question Matthew Breese with Sterne Agee.
Matthew Breese - Sterne Agee: I want to get a sense for you guys have had very strong commercial loan growth Chris, you said over the last five quarters. I wanted to get a sense for the right mix of the portfolio in your view and how close are we to that mix?
Christopher Maher: I think it's easier to answer in broad strokes if you're looking for more specifics, but as of the end of 2013 our residential portfolio for family mortgages was less than half of the loan book for the first time. We certainly see commercial continuing to growing and residential staying relatively stable. So we would like over a series of years get to the point where commercial is the largest component of our portfolio, but we don't have the specific quarterly target on that. We’re always very guarded not to drive to a number because in each individual quarter you see a wide range of credit quality and a wide range of pricing and should take more opportunities than others but I think to your point over time we expect that commercial portfolio will be our largest portfolio at some point in the next several quarters.
Matthew Breese - Sterne Agee: Right and then with the mix shift in the portfolio, the overall size of the balance sheet remains somewhat flat over the past year-to-date at the very least, and I wanted to get a sense for given where capital ratios are, your willingness to put on maybe additional -- a little bit more leverage and grow the size of the balance sheet.
Michael Fitzpatrick: That would lead to your answer [ph]. I think when you look at our securities portfolio; it's a little bit outside for what we would need for a liquidity portfolio. So we look at as really just a source of liquidity as a primary functions. So if you were to normalize where our securities are in the balance sheet, we have a few more quarters of growth that we can do that are swaping securities for loans but within the next several quarters we are going to get to the point where the dollars of loan growth are probably going to correlate pretty close to dollars growth in the balance sheet as well.
Operator: (Operator Instructions). Our next question comes from Rick Wise of (indiscernible).
Unidentified Analyst: I was wondering -- if I guess the interest rate sensitivity, it looks to me it's about the same as you were in June, maybe now you’re more interest rate neutral, is that kind of accurate description?
John Garbarino: Rick, maybe one of the ways to look at it is that in the fourth quarter of last year our borrowings had a weighted average duration of about 19 months and we have slowly pushed that back out to 42 months and we have done that to get to what we consider to be relatively neutral posture. As strategically we look at that is something that we should be as neutral as possible to. We should not be positioned for either a rise or a decrease of rates. That is -- we’re not the kind of company that should be taking advantage or trying to take advantage of that.
Michael Fitzpatrick: Based on the GAAP measure, Rick, we were -- at June 30th we were at negative 5% and at the end of the year we were negative 10%. So we had that program to extend our borrowings in the first six months of the year, we dropped the gap from negative 10% to negative 5% as of June 30th and probably maybe a little bit less than that now. But slightly negative in terms of the GAAP basis.
Unidentified Analyst: It looks like you had great quarter deposit growth in the quarter and just how are you able to do when everybody is out fighting for these deposits?
John Garbarino: I think one of the reasons you saw the excess liquidity their Rick, is that some of those core deposit flows were seasonal. So we expect that tide kind of comes in and goes out. So we did have good commercial deposit growth but I would say the majority of the growth you saw will be here for a couple quarters and then it may just back out. So we have a number of institutional clients who were pretty seasonal in those deposit flows.
Unidentified Analyst: And then just the big picture, how is the local economy doing?
John Garbarino: It depends on who you ask, all sorts of views but I would say we’re in an unusual market we continue to see -- I think the economy is being driven more by kind of Sandy activities and Sandy rebuild, than maybe the more macro environment like you see statewide or nationwide. That being said real estate values continue to be relatively flat. We have not experienced in our market a significant uptake in values as some other markets have. So it's a relatively stable, a little bit of growth but nothing unusual.
Unidentified Analyst: Okay and was this considered to be a good season for the (indiscernible) then in your market? Well there are a lot of tourist and vacationers coming in -- was it better than in 2013?
John Garbarino: Good, it leaves a lot of room for interpretation Rick. We can certainly say it was better than last season, you know the tourist business is all cry [ph] if they get one day of rain in the month of July so I mean that was there. But really in reality we had a wonderful weather month for the summer, the activity was much improved over the first year following Sandy but we still view that as a long road back and I think before we get back to any sense of normalcy here at the shore especially as far as the tourist season is concerned you're talking about still a matter of years and not any quick return to normalcy.
Unidentified Analyst: And I guess the last question would be with regards to any M&A, what's your impression of the M&A market in Jersey?
John Garbarino: I think our impressions are probably pretty consistent with what you’re reading a lot of the industry journals, you know awful a lot of buyers not so many sellers and pricing can be a challenge at times. So we have always said that we just look at those things opportunistically. We’re trying to driving our business by core organic results and if the right thing comes by that makes sense to us we will take a look at it, but we're banking on the organic growth.
Operator: Our next question comes from Frank Schiraldi of Sandler O’Neill.
Frank Schiraldi - Sandler O’Neill: Just a couple of questions, first I just want to make sure I understand the dynamics of loan growth going forward. So I know you had obviously the loan sale and I don't know if you had other elevated or bulky pay downs in the quarter, but as we look at 4Q would we expect to see commercial loan growth in the fourth quarter flow through much more greatly into total loan growth linked quarter?
John Garbarino: Yes I think the big offset this quarter was the NPL sale because it took away some of the residential but I think if you look back over the last 4 or 5 quarters, commercial loan growth has been between say 27 million, 30 million, 35 million a quarter. We think that’s a substantial number and we would actually like to growth it slow and steady and methodically and make sure we’re not overexposed to anyone kind of interest rate period or credit issues. So I think if you look at commercial and you looked at the growth rate for the past 3, 4, 5 quarters, we're comfortable that that’s a sustainable growth rate and then adds in residential loan sale like the non-performing sale you should see relative stability in the residential book.
Frank Schiraldi - Sandler O’Neill: Okay and then just to the back to credit you know I understand the improved risk profile. I guess to statically just the reserve to loan ratio is below where I thought, we would see it below 1%, so you know just it sounds like if I'm hearing Joe's comments correctly that we might not have seen a bottom there or you know can you give me some color there?
Michael Fitzpatrick: I think we’re (indiscernible) comfortable where we are. I would kind of point you back to talk more about total credit costs over the last several years. So although the reserve was appropriately built during the crisis and during the aftermath, our actual credit charges were actually quite minimal. So when you look at credit costs excluding this bulk liquidation, not a whole lot of charge-offs for a portfolio of our size and that’s the most important driver of your reserve requirements. The unusual activity in the quarter is that unrelated to the non-performing loan sale we had the twin effective of non-performing loan sale and we had the commercial book which has nothing to do with the residential book, that experienced substantial improvements.
Frank Schiraldi - Sandler O’Neill: If I think though about the increase in the commercial book here and I'm not sure exactly where we are on the accounting change or the proposed accounting change for looking more proactively at loan losses. In terms of that I think it's likely that companies when that changes if that changes, we will be able to make a onetime adjustment not through the P&L. Have you thought about what sort of increase if there would be one to the reserve loan ratio under that scenario or change?
Michael Fitzpatrick: I mean the proposal is that the losses would be either reserve or losses now over the life of the loan. So you make a long today and advertise it for five years, you identify what the expected losses are over the five year period and you put that in your loss reserve today. So obviously that’s different than what we’re doing now where we’re basically looking towards for a year of losses. So that would increase the reserve I think for almost every bank. What that number is, is the proposal isn't even finalized yet. So we need to take a look at it when that comes out but it will be a higher number but you are right, it would be a onetime adjustment and then you might be back on some other lower track but what that is, that’s a whole industry.
John Garbarino: Yes, we look at that very much as kind of a capital question more than anything else. So that with hard capital ratio we are concerned about that (indiscernible).
Michael Fitzpatrick: (Indiscernible), it doesn’t change a lot and it may change within your reserve but over the long term the losses get converted into flow through dollar [ph], you only have the access -- it doesn’t change your actual losses, it just redistributes when you record them as expense.
Frank Schiraldi - Sandler O’Neill: Right, I guess I’ve just heard potential for -- significant increases in the reserve and does that you know Chris you mentioned it's just more capital question, does that mean you keep more powder dry here and where are you comfortable on a TC ratio level ahead of any change their on the accounting front?
Christopher Maher: Well I think like you we're waiting for the final rule so we can see it but we are obviously comfortable with capital level of the company and nowhere near some of our peers who have lower capital ratios, it would be more than we capitalize and we might have a little bit more of a delta to make up. So we think we have got adequate room and we will wait to see how this -- how the guidance really comes out and how it works in practice but capital for the quarter was 9% - 9.5% so there is room in our current capital position to account for any temporary increase in the low reserve.
Operator: (Operator Instructions). This concludes our question and answer session. I would like to turn the conference back over to John Garbarino for any closing remarks.
John Garbarino: Thanks Chad, once again let me thank you for joining us this morning on my final call. Our team looks forward to the opportunity of speaking with you again in the New Year. Thank you.
Operator: The conference is now concluded. Thank you for attending today's presentation. You may now disconnect.